Operator: Ladies and gentlemen, thank you for standing by. My name is Abby, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Revolve Group Third Quarter 2025 Earnings Call. [Operator Instructions] I would now like to turn the conference over to Erik Randerson, Senior Vice President of Investor Relations. You may begin.
Erik Randerson: Good afternoon, everyone, and thanks for joining us to discuss Revolve's third quarter 2025 results. Before we begin, I'd like to mention that we have posted a presentation containing Q3 2025 financial highlights to our Investor Relations website located at investors.revolve.com. I'd also like to remind you that this conference call will include forward-looking statements, including statements related to our future growth, our inventory balance, our key priorities and business initiatives, industry trends, the impact of tariffs and our mitigation efforts, our marketing events and their expected impact, our physical retail stores and our outlook for net sales, gross margin, operating expenses and effective tax rate. These statements are subject to various risks, uncertainties and assumptions that could cause our actual results to differ materially from these statements, including the risks mentioned in this afternoon's press release as well as other risks and uncertainties disclosed under the caption Risk Factors and elsewhere in our filings with the Securities and Exchange Commission, including, without limitation, our annual report on Form 10-K for the year ended December 31, 2024, and our subsequent quarterly reports on Form 10-Q, all of which can be found on our website at investors.revolve.com. We undertake no obligation to revise or update any forward-looking statements or information, except as required by law. During our call today, we will also reference certain non-GAAP financial information, including adjusted EBITDA and free cash flow. We use non-GAAP measures in some of our financial discussions as we believe they provide valuable insights on our operational performance and underlying operating results. The presentation of this non-GAAP financial information is not intended to be considered in isolation or as a substitute for or superior to the financial information presented and prepared in accordance with GAAP, and our non-GAAP measures may be different from non-GAAP measures used by other companies. Reconciliations of non-GAAP measures to the most directly comparable GAAP measures as well as the definitions of each measure, their limitations and our rationale for using them can be found in this afternoon's press release and in our SEC filings. Joining me on the call today are our Co-Founders and Co-CEOs, Mike Karanikolas and Michael Mente; as well as Jesse Timmermans, our CFO. Following our prepared remarks, we'll open the call for your questions. With that, I'll turn it over to Mike.
Michael Mente: Hello, everyone, and thanks for joining us today. We had a very solid third quarter, highlighted by exceptional gross margin performance that led to a 45% increase year-over-year in adjusted EBITDA to $25 million, our highest ever for a third quarter. Particularly in the current tariff environment, I am extremely pleased by our nearly 350 basis point increase in gross margin in Q3 that puts us on track to expand our gross margin and adjusted EBITDA margin in the full year 2025 for the second straight year. On the other hand, we delivered net sales growth of only 4% in the third quarter, which is lower than the recent trend line and certainly lower than the growth rate we believe we are capable of achieving on an ongoing basis. It's important to note that in comparison to the third quarter of 2024, this year, we pulled back meaningfully on certain promotions. While the shift in our approach added to an already tough net sales comparison in Q3, it also contributed to our gross profit dollars increasing by nearly 3x the rate of net sales growth in the third quarter. Beyond the numbers, I'm thrilled by our progress in developing our longer-term investments that we believe create a strong foundation for profitable growth for years to come, including owned brand expansion that was a key contributor to our Q3 results. With that as an introduction, I will step back and provide a brief recap of our Q3 results before reviewing the progress on our longer-term initiatives. Starting with Q3 results. Net sales increased 4% year-over-year, driven by domestic and international net sales increases of 4% and 6% year-over-year, respectively. By segment, REVOLVE net sales increased 5% and FWRD net sales increased 3% year-over-year. To illustrate the tougher comparison we faced in the third quarter, our revenue growth rate on a 2-year stacked basis in Q3 was the highest we have achieved in more than 2 years. Our outstanding gross margin performance was the most powerful driver of upside in the third quarter and mostly flowed through to the bottom line. Despite meaningful tariff pressures, we delivered a consolidated gross margin of 54.6%, an increase of nearly 3.5 points year-over-year, significantly outperforming our guidance. Our ability to meaningfully expand our gross margin and operating margin year-over-year in the face of these tariff headwinds and broad-based input cost pressures demonstrates our team's agility, execution and operating excellence. Shifting to our bottom line results. Our operating discipline enabled us to achieve a 45% increase in adjusted EBITDA year-over-year, handily outpacing our net sales growth. Importantly, we have now delivered strong bottom line performance for nearly 2 years, making great progress improving our margins. For the first 9 months of 2025, our adjusted EBITDA has increased 32% year-over-year, building on our huge gains in the full year 2024 when our adjusted EBITDA increased 60% year-over-year. And our business continues to generate meaningful cash flow, reinforcing our track record of delivering consistent profitability and cash flow. During the first 9 months of 2025, our free cash flows have more than tripled, increasing our cash position by $63 million or 25% year-over-year. Our strong balance sheet and cash flow create a key competitive advantage within a fashion e-commerce landscape marked by frequent bankruptcies and other failures in recent years. Now I'll conclude by recapping our progress on key priorities and growth drivers that we are very excited about. We continue to invest in and build on several promising initiatives that we believe will play a key role in shareholder value creation over the long term. First, we continue to invest in marketing efforts to expand our brand awareness, grow our customer base and strengthen our connection with the next-generation consumer. We had an active and impactful third quarter for our brand building, featuring marketing activations at Fashion Weeks in Paris, New York and Aspen; the experiential pop-up experiences we hosted in Nashville and SoHo; and more that Michael will talk about in his remarks. Longer term, we are also excited about the potential for physical retail to meaningfully expand our brand awareness and serve as an efficient new channel for customer acquisition. Second, we continue to successfully expand our international penetration. The Middle East and Europe were standouts in the third quarter, partially offset by continued challenges in certain Asian regions. The momentum of our REVOLVE segment business in Mainland China remains very strong, however, with net sales increasing more than 50% year-over-year. We are particularly excited about the launch of our first-ever owned brand collaboration made specifically for customers in the China market. The launch was supported by a live stream event attended by over 40,000 viewers, creating local demand for the collection that outperformed some of our most successful owned brand collaborations from the U.S. This innovation further illustrates our exciting potential for international growth over the long term. Third, we have continued to expand our assortment to attract new customers and gain a greater share of consumer spending among our loyal existing customers. On a combined basis, sales of beauty, men's and home products increased by a healthy double-digit percentage year-over-year in the third quarter. Notable brand additions in recent quarters have elevated our merchandise assortments in key areas outside of our historical core, further broadening consumer awareness and interest. As just one example, we expect net sales of our highly sought-after beauty advent calendar to increase approximately 40% year-over-year in the 2025 holiday season as our incredible offering and powerful marketing engine have created viral excitement on social media and in press outlets, including Vogue, ELLE, Cosmopolitan, Marie Claire, Allure and more. Finally, we are continuing to leverage AI technology to drive growth and efficiency initiatives across the company, touching nearly every facet of our operations. One innovative use case that is already driving results is deploying AI technology within our owned brands design process to deliver cost efficiencies and shortened development cycles. We are increasingly leveraging AI in the creative design process to produce renderings of owned brand products with a variety of different materials, finishes, colors and silhouettes. This is a huge advance because the AI imagery instantly allows our design and buying teams to visualize how products will look in different configurations before they commit to building the product without having to produce multiple physical samples, thereby accelerating the time frame between the initial design concept and ultimately going live on the site. We are also leveraging AI to automate back-office functions to drive efficiency. For instance, we are in the process of transitioning our accounts payable workflow from a historically manual and cumbersome process to an intelligent and primarily automated AI-driven system. Developed internally by our data science team, our AI technology now automatically ingests payment invoices for routine bill processing, significantly increasing efficiency and elevating the productivity of our team members. To wrap up, I want to take a moment to thank my Revolve colleagues for your focus and execution that enabled us to deliver very solid results in the third quarter while simultaneously moving the ball forward on exciting longer-term initiatives. Our leadership team is energized by the many opportunities ahead that we believe will accelerate our market share gains. We are successfully navigating ongoing macro uncertainty from a position of strength, bolstered by our data-driven mindset and culture, operational excellence, powerful brands and very strong financial foundation. The building momentum in our key growth and efficiency initiatives reinforces my confidence in our ability to drive profitable growth in the years ahead. Now over to Michael.
Michael Karanikolas: Hello, everyone. I am very pleased with our financial performance this quarter, particularly our strong bottom line performance. Despite delivering only 4% top line growth, we were able to deliver record adjusted EBITDA for any third quarter. Through the first 9 months of 2025, adjusted EBITDA increased 32%, and our free cash flow has more than tripled year-over-year. Most impressive are the drivers of our gross margin expansion. Despite facing significant tariff exposure, gross margin has meaningfully outperformed our expectations, validating the competitive advantages of our data-driven merchandising that is at the center of everything we do. Even more exciting is that with our strong financial foundation, we are investing in growth initiatives that we believe will be impactful drivers in further strengthening our brands and accelerating our overall growth potential. With that as an introduction, I will focus my remarks on some of the strategic areas we are investing in and where we see a great deal of opportunity: Brand investments; opportunities in the dynamic luxury industry; expansion of owned brands; and physical retail development. First, brand building. The quarter got off to an exciting start with REVOLVE Summer in the Hamptons, followed by an incredible experience in Ibiza that inspired our engaged community on social media. In September, we turned up the brand heat with trips to Nashville to launch a limited time pop-up retail experience in partnership with Cotton Inc. and to New York, Paris and Aspen for experiential Fashion Week events that excited and delighted our high-value clients with preferred access. Our engagement metrics in the third quarter illustrate the impact of our brand-building investments. We generated a triple-digit increase year-over-year in consumer views on our TikTok and YouTube channels while delivering increased marketing efficiency year-over-year in the third quarter. As a company with deep Los Angeles roots, I couldn't be more excited about the multiyear partnership we recently announced with the Los Angeles Lakers. The cultural intersection of professional sports and fashion influence is more powerful than ever, creating authentic opportunities for us to engage with the huge audience following the storied Lakers franchise in real life and on social channels. As a pioneer in embracing social media to drive favorable brand awareness, it is exciting to consider that the Los Angeles Lakers have one of the largest social media followings and the highest social media engagement per post in all of U.S. professional sports teams. With the NBA tipping off its season recently, our collaboration has already come to life through immersive experiences in arena signage, engagement with VIPs and influencers and co-branded content across the Lakers social media channels. Second, FWRD and the competitive environment in luxury. The operating environment in luxury continues to be extremely dynamic, creating opportunity for our FWRD business. In fact, the challenges facing our competitors accelerated in the third quarter, highlighted by 2 large luxury e-commerce retailers filing for bankruptcy protection or the international equivalent in August. Adding to the industry malaise, luxury brands, large and small, have been frustrated by extended payment terms from a prominent luxury department store chain in the U.S., which has been reducing investment amidst declining sales and significant debt obligations. We continue to view these challenges within the luxury sector as an exciting opportunity for REVOLVE and FWRD to remain on offense and invest in market share capture, supported by our consistent profitability and cash flow generation that sets us apart. Not only are we excited about the opportunity, our FWRD segment results demonstrate that our investments are working as evidenced by continued top line growth and a 37% year-over-year increase in gross profit dollars in the third quarter, an expansion of more than 11 points of gross margin. It was our best FWRD segment gross margin since the post-COVID boom more than 3 years ago. And luxury brands are increasingly recognizing FWRD as a clear winner in the space for the long term. On the heels of the impactful brand wins discussed last quarter, we were thrilled to launch the iconic luxury brand, Dries Van Noten, on FWRD in late September. The Dries Fall collection has performed incredibly well in the early going. The FWRD team is having many productive discussions with brands, including receiving initial inventory commitments from a coveted brand that we have been courting for over a decade. Third, owned brands, where our momentum has continued to build. In fact, our owned brand penetration of REVOLVE segment net sales increased year-over-year for the third consecutive quarter in Q3. These gains contributed to our much higher-than-expected gross margin as our owned brands generate considerably higher gross margins than third-party brands. Even while navigating the highly uncertain tariff landscape with agility, our team has done an amazing job in delivering owned brand styles that resonate with our customers, resulting in continued improvement in underlying performance metrics year-over-year. Building on our future opportunities, we are very excited to launch the SRG brand with fashion icon Sofia Richie Grainge exclusively on REVOLVE and FWRD. Sofia's timeless and sophisticated signature style creates a strategic expansion of our owned brand portfolio that has driven a ton of favorable awareness in press and social channels, truly resonating with her vast audience of 11 million Instagram followers. In fact, in its first week, the SRG collection achieved the highest sales volume for any owned brand collaboration launch in our history. Sofia shared that REVOLVE was the perfect partner to fulfill her lifelong dream of launching her own brand, citing the strength of our platform, our community engagement and expertise in helping bring her product vision to life, reaching a wide audience of engaged consumers. And there is more to come. We have been investing in an incredible pipeline of new owned brand initiatives on tap to launch in the months ahead. Our strong owned brand metrics in recent quarters gives us increased confidence in these investments. Finally, physical retail. We continue to be very excited about the opportunity in physical retail. Over the last 20 years, we have built a very powerful brand with meaningful scale that we can now leverage into the very significant physical retail market that is largely untapped by our brands. The physical retail market is not only significant in size, representing more than 60% of global retail spend on apparel and footwear, but is also very synergistic with our owned brands and has the ingredients to be even more profitable than our core online business. One of the key drivers of Revolve's growth opportunity is the expansion of our active customer base. Our strong brand, differentiated merchandising and incredible service proposition have created attractive customer loyalty online that we believe can translate to physical retail. We believe giving consumers the opportunity to engage with us online and in-store further enhances our value proposition, particularly among the younger demographic of customers who embrace the opportunity to touch and feel products during in-person shopping experiences as well as shopping through online channels. Finally, we are very excited about the opportunity for our owned brands within physical retail over the long term. In our Aspen store, great work by our store merchandising team has increased the owned brand mix of REVOLVE segment net sales to levels that are now significantly higher than our owned brand penetration for e-commerce sales. The physical retail opportunity, our powerful brands and our entrepreneurial culture have enabled us to attract talent with deep industry experience in recent months to further strengthen our retail muscle and go-to-market strategy. Our team is guiding our investments in systems and processes to ensure that we are positioned for success, particularly headed into the upcoming opening of our Los Angeles store at The Grove. Concurrent with putting the finishing touches on our magnificent retail destination in Los Angeles, we are engaging in opportunistic discussions with Tier 1 landlords in key markets on our short list. We are laying the groundwork now to ensure we will be in a position to move quickly if and when a compelling opportunity should arise in the geographic areas we are most focused on pursuing for the next phase. Wrapping up, at a time when the dynamic operating environment has forced key competitors to dial back investment, our strong financial foundation gives us an opportunity to aggressively invest in the many exciting initiatives that we believe will continue to drive profitable growth for many years to come. Now I will turn it over to Jesse for a discussion of the financials.
Jesse Timmermans: Thanks, Michael, and hello, everyone. I am pleased with our third quarter results, particularly on the bottom line, highlighted by the record adjusted EBITDA for any third quarter that drove more than 2 points of expansion in our adjusted EBITDA margin year-over-year. I'll start by recapping our third quarter results and then close with updates on recent trends in the business and guidance for the balance of the year. Starting with the third quarter results. Net sales were $296 million, a year-over-year increase of 4%. REVOLVE segment net sales increased 5% and FWRD segment net sales increased 3% year-over-year in the third quarter. By territory, domestic net sales increased 4%, and international net sales increased 6% year-over-year. Active customers, a trailing 12-month measure, increased 5% year-over-year. Total orders placed were $2.3 million, an increase of 5% year-over-year. Average order value was $306, an increase of 1% year-over-year, an improvement from the modest decline reported in the first half of 2025. Partially offsetting the increase in orders placed and AOV was a slight increase in our return rate year-over-year. Consolidated gross margin was 54.6%, an increase of 347 basis points year-over-year, an exceptional result that materially exceeded our guidance range. Key contributors to our margin upside were much shallower markdowns on our markdown product that benefited from our data-driven innovations within our markdown algorithms, a higher percentage of full price sales and higher margins on these sales and continuing growth in the mix of our owned brands as a percentage of REVOLVE segment net sales. We are also very pleased with our tariff mitigation thus far, which illustrates our team's agility, execution and operating excellence. Now moving on to operating expenses. Fulfillment costs were 3.3% of net sales, an increase of 5 basis points year-over-year that primarily reflects the slight increase in our return rate. Selling and distribution cost efficiency was 17.5% of net sales, in line with our guidance. The increase of 56 basis points year-over-year was driven by higher shipping costs and the higher return rate. Our marketing investment represented 13.7% of net sales, a decrease of 28 basis points year-over-year, driven by efficiency in our marketing investments across both digital performance and brand marketing. General and administrative costs were $38.6 million, an increase of 107 basis points year-over-year as a percentage of net sales. The decreased efficiency year-over-year as a percentage of net sales primarily reflects our increased investment in strategic growth initiatives and a $1 million increase in nonroutine costs year-over-year. The increase in net sales, combined with the significant expansion of our gross margin, helped us to achieve outstanding growth in operating profitability. Our GAAP income from operations increased 47% year-over-year in the third quarter. Adjusted EBITDA was $25 million, a year-over-year increase of 45% and our highest ever adjusted EBITDA result for a third quarter. Adjusted EBITDA margin was 8.6%, an increase of 239 basis points year-over-year and our highest quarterly margin in more than 3 years. Net income also increased meaningfully to $21 million or $0.29 per diluted share compared to $0.15 per diluted share in the third quarter of 2024. The third quarter of 2025 included a gain equivalent to $0.05 per share from an insurance recovery related to a previously disclosed shipment theft that occurred in 2024. Moving on to the balance sheet and cash flow statement. We again delivered increased cash flows that further strengthened our balance sheet. In the third quarter, our operating cash flow and free cash flow increased 31% and 7% year-over-year, respectively. For the 9 months ended September 30, free cash flow was $59 million, a year-over-year increase of $43 million or 265% compared to the 9-month year-to-date period in 2024. Inventory dynamics remain healthy as net sales growth year-over-year outpaced inventory growth by 5 points. Inventory at September 30, 2025, was $239 million, a decrease of 1% year-over-year. As of September 30, 2025, cash and cash equivalents were $315 million, an increase of $5 million during the quarter and growth of $63 million or 25% year-over-year, and we continue to have no debt. Now a brief update on tariffs. The tariff landscape continues to be very fluid and unpredictable. Nonetheless, our cross-functional team continues to make excellent progress on tariff mitigation. Through a variety of strategies discussed on previous calls, we mitigated the significant majority of our tariff exposure in the third quarter. At a time when many companies in our industry are facing significant gross margin pressure, our ability to expand gross margins year-over-year in 2025 further illustrates our competitive advantages of data-driven merchandising and inventory management. Now let me update you on some recent trends in the business since the third quarter ended and provide some direction on our cost structure to help in your modeling of the business. Starting from the top, our net sales in the month of October increased by a mid-single-digit percentage year-over-year against a more challenging prior year comparison than we faced in the third quarter. Now before we get into guidance, let me caveat that our outlook is based on the current status of tariffs as of today, November 4, 2025, and our estimate of the impact of potential mitigating activities that are currently underway. Our outlook for gross margin is especially susceptible to variability given the uncertainty surrounding the timing and level of tariffs in effect as well as the timing and magnitude of our mitigation efforts. With that, let's discuss our updated guidance for gross margin, which includes our best estimate for the impact of tariffs, net of our mitigation efforts. We expect gross margin in the fourth quarter of 2025 of between 53.1% and 53.6%, which at the midpoint implies an increase of approximately 80 basis points year-over-year. For the full year 2025, we now expect gross margin of approximately 53.5%, a meaningful increase from our prior guidance. The new guidance implies a margin increase of roughly 100 basis points year-over-year. Fulfillment. We expect fulfillment as a percentage of net sales of approximately 3.3% for the fourth quarter of 2025 and approximately 3.2% for the full year 2025 at the high end of our prior guidance range. Selling and distribution. We expect selling and distribution costs as a percentage of net sales of approximately 17.6% for the fourth quarter of 2025 and approximately 17.3% for the full year 2025. Embedded in our assumptions is that our return rate in the fourth quarter will remain higher year-over-year, consistent with the third quarter. Marketing. We expect our marketing investment to be approximately 15% of net sales in the fourth quarter of 2025 and approximately 14.6% of net sales for the full year 2025, a slight decrease from our prior guidance. Looking ahead to 2026, we have some exciting marketing investments planned to support the growth initiatives we have been investing in and expect to launch in 2026. General and Administrative. We expect G&A expense of approximately $38.7 million in the fourth quarter of 2025 and approximately $153.5 million for the full year 2025 in the range of our prior full year guidance. The implied decrease in G&A costs year-over-year in Q4 is primarily due to the fourth quarter of 2024, including $2.7 million of nonroutine and transaction costs that we do not expect to reoccur this year. And lastly, we now expect our effective tax rate to be between 25% and 26% in the fourth quarter and 27% to 28% for the full year 2025. To recap, we delivered very solid third quarter results, further strengthening our financial foundation that truly stands out compared to many in our industry. Even in what continues to be an uncertain environment, our healthy cash flow and rock-solid balance sheet enable us to continue to invest in exciting long-term initiatives such as international expansion, owned brands and physical retail that we believe position us to achieve profitable growth for the years to come. Now we'll open it up for your questions.
Operator: [Operator Instructions] Our first question comes from the line of Rick Patel with Raymond James.
Rakesh Patel: Congrats on strong results. I'd like to double-click on gross margin. So is there any way to size the benefit that you realized from the improved markdown algorithm? I know it was a benefit in the second quarter, and it sounds like the benefit accelerated in Q3. So I'm curious how that happened as you deploy it to more regions, more banners, et cetera? And how do we think about the durability of this improvement, not just in Q4 but beyond?
Jesse Timmermans: Yes. Thanks, Rick. We were super happy with the gross margin result this quarter. And to your point, the largest impact was that markdown margin optimization to our optimizing that markdown algorithm. So that was by far and away the biggest driver. And we did see that start in Q2 and that accelerated into Q3. It was across both FWRD and REVOLVE. And then we also had that shift in promotional strategy that we talked about, and that was another key contributor to the gross margin expansion leading to that 11% increase in gross profit dollars. But not to be lost on the fact that also full price mix increased and the margin on those full price sales increased as well. So really pleased with the core margin result even outside of that markdown and promotional shift. And then finally, a positive impact from the expansion in owned brand mix on the REVOLVE segment. So really pleased with the cadence there. And SRG just launched, so expect to see good things coming out of that in the future. So I think to your point on sustainability, we feel good about where we're at and then also the health of the inventory and more owned brand launches to come.
Rakesh Patel: Great. And I just had a follow-up on the quarter-to-date trends. October up mid-single digits. Are the drivers of October consistent with the trends that you saw in the second quarter? A lot of companies are calling out consumers buying closer to need. So I'm just curious if you see the potential for that growth rate to accelerate as you start entering the holiday season.
Jesse Timmermans: Yes. Yes, we'll see. October at mid-single digits, I don't know, I won't say we're pleased with that, but we're encouraged that it's at mid-single digits on tougher comps than we faced in the third quarter. And that mid-single digits, it puts October close to a 20% 2-year stack. So call it a double-digit CAGR or close to it. So I think encouraging, but we'll have to see how the quarter plays out. And it's always a little bit volatile in the holiday season. And comps do get a little bit tougher. If you recall last year, we had said that October was up low double digits, and we closed at plus 14%. So we have that to deal with as well.
Operator: Our next question comes from the line of Oliver Chen with TD Cowen.
Oliver Chen: Mark, Mike and Jesse, great results. Jesse, yes, you had a great last year fourth quarter. That comparison is tougher. What do you think about average order value trends? And also any complexion in terms of like what you're seeing in October with price points or categories? I'm just concerned about the tough compare, but you keep on executing so well. The return rate is also a tough compare as well. And then as you think more broadly physically, you're an expert at digitally enabling A/B testing, test read and react inventory management and also thinking about the speed at which you innovate. So how might you take these digital capabilities physical? It's a different ball game to a certain extent in terms of speed and scaling that. I was curious about your conceptual thoughts too, as that's clearly a big opportunity.
Jesse Timmermans: Yes. Thanks, Oliver. I'll take the first one and then kick it over to Mike. On the composition of October, similar to the third quarter, international outpaced domestic. On AOV, we'd expect to continue to see a slight increase in AOV in part due to the price increases. I think we had mentioned last quarter that we are seeing on the new product price increases of, call it, mid- to high single digits, and that's approaching double-digit range as we head into Q4. Not all that will hit this kind of -- it starts to have an increasing impact as inventory rolls in. And then, of course, depending on mix between REVOLVE and FWRD and then the category mix as well. We saw, again, that men's, beauty, home at double digit versus apparel at 7% and then dresses at 3%. So there was a slight offset to the AOV increases due to product mix. But again, to answer your question, I expect to see a slight increase in that AOV as we look ahead.
Michael Karanikolas: And with regards to physical, I completely agree that we are experts in e-commerce, but we're early in the game in physical commerce. So we're super excited and hyper focused, investing a lot of time building teams, resources, processes. Literally just yesterday, I met with the team and was -- I encourage them to be very experimental and iterative. We have a vast, vast e-commerce store. But of course, our physical stores will be focused. So there will be a lot of experimentation, a lot of measuring and management and ultimately long-term optimization. We've seen great progress with Aspen, building from the learnings as well as trying new things and our internal numbers are very, very encouraging. And we recognize that it is a long journey ahead for us to be experts, but I think we're culturally built for this.
Operator: Our next question comes from the line of Matt Koranda with ROTH Capital.
Matt Koranda: I guess 2 for me. First one, I guess with the larger luxury players you talked about showing signs of stress, surprised you aren't seeing maybe just a little bit better growth out of FWRD in the third quarter. So maybe could you unpack sort of where you saw benefits and maybe where you're still seeing some headwinds in that business and when we expect the competitive environment to be more of a benefit for you guys going forward there?
Michael Mente: Yes. So we were actually extremely encouraged by the FWRD results. And I focus not on the top line number for FWRD but on the gross profit growth for FWRD, which was absolutely incredible. And so we made a decision to focus on margin and get the margins on FWRD back up to where we want them to be over the mid- to longer term and had huge increases in gross profit. And so I think it was a very favorable environment for us. And going forward, we hope and expect to drive both large gross profit increases as well as more sizable revenue increases.
Matt Koranda: Okay. All right. That makes sense. And then just on the...
Michael Karanikolas: Just to add a little bit to that -- sorry, just one thing to add is that, of course, these very, very weak competitors still have a lot of inventory for previous seasons. But as we go season to season with a lack of new deliveries, we're quite optimistic that we will accelerate and gain share as the lack of refresh in our competitors is quite obvious and more customers coming to us.
Matt Koranda: Okay. All right. That's very helpful. And then maybe for Jesse on the gross margin guidance. I guess just why the step down in the fourth quarter sequentially? It sounds like most of the wins are at your back there with more owned brand launches. You still have the benefit of the markdown algo. Maybe just why the slight step down that you're embedding there?
Jesse Timmermans: Yes. I think a little bit of it will be mix. And then I think as that markdown algorithm starts to season itself and then also 3Q had the biggest benefit from those promotional shifts that we talked about. So we'll see how it goes, but still optimistic even with that 4Q step down with the full year being 100 basis points higher than last year.
Operator: Our next question comes from the line of Michael Binetti with Evercore.
Michael Binetti: I guess just if I look at the marketing, you kind of lowered the -- you came in a little lower than you were thinking for the quarter and you lowered the outlook for the year a little bit. Any reason to cut it back while sales are decelerating a little bit after July and into the ongoing tough compares? And I guess as you look at fourth quarter, how much of it is already -- how much of the marketing budget has already been deployed that we see reflected in the October numbers that you gave us, Jesse, relative to what's still on the come ahead? I could imagine maybe there's some pretty impactful marketing as you guys look to the growth. And then just one on AOV. I think you said third quarter like-for-likes were up mid or maybe even approaching high single digits and AOV was up 1. So it seems like the category mix down is maybe low to mid-single digits. And then the like-for-likes, you said approach, I think, double digits in the fourth quarter. Is the mix down effect similar on AOV in the fourth quarter? Or any moving parts there that we can think about as we try to triangulate around the AOV?
Jesse Timmermans: Yes. I think we need to see -- sorry, I'll start with the last question. I think we need to see how the mix plays out in Q4, but that definitely was the offset to the price increases was that mix shift across categories. And then also a little bit of REVOLVE FWRD mix shift with REVOLVE outpacing the higher price point FWRD.
Michael Karanikolas: Yes. And on the marketing side, I can speak to the budget high level and then Michael can speak maybe to some more specific elements, including to the extent we can reveal anything upcoming. So from a budget standpoint, we actually did find good opportunities and spend a bit more aggressively on the performance marketing side. But there were some shifts on the brand marketing budget due to timing of events and kind of other factors there that led us to come in a little bit under. So with brand marketing, it's always very timing-driven and opportunity driven in terms of where the spend comes in, in a given quarter. So that's why we saw that spend in Q3. And again, we're very happy with the results, huge margin gains, double-digit gross profit gains. So we felt like we didn't need to press the marketing budget further than was necessary.
Michael Mente: And quickly to note that in Q4, we do have something exciting coming up. So we can't wait to share. I think we're maybe just about a month away. So super excited there. The one thing, though, that we found is that if we choose store locations well, we don't have to market as aggressively. There's -- we're putting our stores where we know our customers already are. So there will be some, of course, activation for store opening, but it won't be on the scale that you'll expect from us on the digital basis on a global scale. But we do have something exciting cooking this quarter as well as a lot in 2026 that we're very excited to share with you guys.
Michael Binetti: Okay. If I could sneak one more in on the international business. It's getting close to maybe be in 1/4 of the business or so maybe next year, pretty material. I know you've added a lot to the customer experience and some logistics there. Can you speak to where you are today on the contribution margin from a sale in international versus U.S.? Is that gap closing today? And is there much opportunity to improve that?
Jesse Timmermans: Yes. Yes. The gap is fairly tight there. Shipping, of course, is much higher internationally, but there's other puts and takes like a lower return rate. So still very healthy contribution margin. But to your point, there's always opportunity. The team does a great job at continuing to optimize last-mile shipping channels and also the customer experience and localizing things even more to get better rates across those variable line items. And then a good example, maybe just a very finite example, but that would be that owned brand collaboration that we did in China where the product is produced there, you don't ship it to the U.S. and then ship it back. So excited to see more of that to come.
Operator: Our next question comes from the line of Janine Stichter with BTIG.
Janine Hoffman Stichter: Congratulations on the good quarter. I wanted to go back to the owned brand improvement a little bit. Can you help us contextualize what the year-over-year increase looks like in Q3 versus Q2? And then maybe just put into context where the owned brand penetration sits now versus historical and how you see that unfolding over the next few quarters as we get the benefits of SRG and it sounds like some other launches in the pipeline.
Jesse Timmermans: Yes. Thanks, Janine. We don't get too specific on the quarterly dynamics around owned brand growth or mix. Obviously, it grew faster than the overall business given that increase in the penetration. Last year, we were about 20% of mix, and we've seen good increases in the last couple of quarters. So expect to see an increase there this year, not as much as we would expect to see into next year given that SRG just launched and we have some other exciting things coming up. So we do expect to see a pretty good clip of increased mix there in the coming quarters.
Operator: Our next question comes from the line of Anna Andreeva with Piper Sandler.
Anna Andreeva: Great. Congrats. Nice results. We wanted to follow up on higher returns. Could you just elaborate on that a bit more? Was that seen across any specific categories? And what's driving higher returns again in the fourth quarter? Do you guys think there's still an opportunity for improvement as we look into next year? And then just as a follow-up, so looking at the category performance that you disclosed in the Q, it looks like the handbags, shoes and accessories is what slowed to negative low singles. Can you just elaborate more on that? What's driving that? And do you expect that category to bounce back here in the fourth quarter?
Michael Karanikolas: Yes. So speaking to return rates in Q3 and some of the increases we saw there, I'd say there are a couple of factors. There's a little bit of mix shift, and you mentioned some negative mix shift in what typically are lower return rate categories. We also started to see some of the higher AURs with Q3 new product flow in. And generally, there's a bit of an inverse relationship on return rate and I should say a direct relationship on return rate and price. And then the last thing is we did see -- some of our marketing channels, we started to see them kind of stand out in terms of unusually high increases in return rates on some of those channels. And so that's something that we're diving into and we hope is an opportunity to kind of correct what's going on with those channels. Looking into Q4, of course, the comp is even tougher, and there's going to be continued focus on margin and some more price increases going in there. So we think it's going to be a tough compare in Q4. But looking forward beyond Q4, we definitely have things in the pipeline that we're working on that hopefully can continue to drive those longer-term reductions in return rates that we saw over the past year, and we're hopeful we can get some more of them.
Jesse Timmermans: Yes. And then on the handbag, shoes, accessories, that mix skews higher on FWRD and REVOLVE, and on FWRD is where we saw more of the impact from that promotional shift in the markdown algorithm. So that is a piece of it, and we would expect that to rebound in the quarters ahead.
Anna Andreeva: That makes a lot of sense. Can I just follow up? The markdown optimization tool sounds pretty exciting and early days of that. Can you guys just talk about how that should manifest as we go through next year, it just sounds like there could be some nice upside from that.
Jesse Timmermans: Yes. Yes, we're very pleased with the optimization there and a very healthy inventory balance. So that sets us up well as we head into 2026. Now we will face the comps as we enter kind of that midpoint of 2026 when we started to layer in that shift in the markdown or that optimization in the markdown algorithm in 2025. So I wouldn't expect to see such massive year-over-year improvements on that, but a good steady baseline on margin. And great to see FWRD at nearly 45% margin, and our target has been to get that consistently in the 40s. So to be in the mid-40s, really encouraging. And on top of a healthy inventory balance, we feel good about where we're positioned there.
Operator: Our next question comes from the line of Nathan Feather with Morgan Stanley.
Kavya Narayanan: This is Kavya Narayanan on for Nathan Feather. Really impressive EBITDA performance. Given the success in tariff mitigation throughout the third quarter at current rates, are you expecting tariffs to be an incremental headwind into the fourth quarter or 2026?
Jesse Timmermans: Yes. No, we're very pleased with the mitigation efforts by the team. They've been working really hard on this. So it's really good to see that margin result come through this quarter. I wouldn't say we're expecting any incremental headwinds with all the mitigation efforts. And then also China has come down to an incremental 30% from what was 145% at some time in Q2. And that has the potential, we'll see if it actually goes through, but to come down from an incremental 30 to an incremental 20 as they cut that APA kind of fentanyl tariff from 20 to 10. So I think if anything, hopefully, and potentially a net benefit from where we stand today. And then we mentioned it on previous calls, some of the mitigation efforts that we've implemented have the potential to actually increase margin over the long term. So we could see some benefit in the out quarters.
Operator: Our next question comes from the line of Jay Sole with UBS.
Jay Sole: Mike, I think you mentioned in the FWRD business, you've managed it to drive gross margin and maybe somewhat at the expense of sales. Can you just talk about the REVOLVE business, how you manage that? Did you also sort of look to drive more gross margin in the quarter? And if so, sort of can you describe the thinking behind that strategy?
Michael Karanikolas: Yes, 100%. So in both businesses, there was a decision to focus more on driving margin versus sales growth. Obviously, we want to deliver both, and we fell short of where we'd like to be on the sales side. But overall, we're really pleased with the combination of the efforts and again, resulting in double-digit gross margin gains. And on REVOLVE, we saw really nice gross margin gains as well. But again, some of that does come in a little bit of sales expense.
Jay Sole: And it sounds like you feel like on the FWRD side that when you reset the gross margin higher by adjusting promotions and adjusting price. And it sounds like you feel like that's a sustainable level where once you get to that point, you take a sales impact, but then going forward, you can maintain that level and grow sales on top. Is that how you think about it? Or am I sort of reading into it too much?
Michael Karanikolas: Yes. No, no, that's certainly the hope and the expectation. Now FWRD is always going to be a bit more volatile business than REVOLVE in terms of the quarter-to-quarter gross margin. And so it's not necessarily going to be a straight path, but we feel like this is a great step towards where we want to be, and it's our absolute expectation that we want to stay here and average these levels over the mid- to longer term. And so that's what we're focused on.
Jay Sole: Got it. And if I could just ask one more about your owned brands. Is there -- is the opportunity that you see based at all on some merchandising angle where maybe some of your partners, your third-party brands aren't sort of creating products in certain categories where you know your consumer wants something where you can fulfill that need with your owned brands. What is it about what you can do with private label that maybe you're not getting from the other brands? If you could elaborate on that a little bit, that would be helpful.
Michael Mente: Yes, it's ranging. Sometimes we find product that we can't find from our third-party brands, and we will create it ourselves. Sometimes we see that certain zones are very, very interesting and our customer loves it, and they want more. So we'll pursue that as well. The other ability on the owned brand side is to combine our design and manufacturing with our incredible brand building and marketing capabilities. So that has been very, very, very fruitful. We've seen incredible short term, near term and LTV numbers from our owned brands as well. So it is a huge, huge and powerful lever that the team has been really focused for quarter in, quarter out for many, many years to deliver the improved results quarter after quarter and very excited about the path ahead. There's a lot cooking right now, exciting new launch in Q4 and a lot to come in 2026.
Operator: Our next question comes from the line of Peter McGoldrick with Stifel.
Peter McGoldrick: I was curious on the state of the consumer. It seems you struck a balance between markdowns despite macro volatility. So I was hoping you could help us think about the health of your core consumer in the U.S. And then if there's anything to add about any of the international markets or new consumer behavior to add to that?
Michael Karanikolas: Yes. So we think the health of the consumer is still generally good from the numbers that we're seeing. We are seeing certainly like some pockets of weakness and strength. So generally, we were a bit stronger with some of the higher income segments this quarter and the lower income, a little bit of weakness, but nothing dramatic. Some regional differences, the government shutdown in the surrounding areas there, D.C., Maryland, Virginia, like a little bit of weakness there. But in general, the consumer still feels still feel strong, but it does feel like we're in an environment where there's risk that, that changes or drops off. But so far, we're continuing to see decent signs from the consumer.
Peter McGoldrick: That's good to hear. Go ahead, Jesse.
Jesse Timmermans: Yes, I was going to follow up on your international question. I think we talked about it in the prepared remarks that kind of the standouts were Europe, Middle East, Africa and within Europe, strong results out of Germany, Netherlands, Switzerland, countries like that. So really encouraged by that. And then we mentioned that China as well the Mainland China, up 50% on REVOLVE. So really pleased with the progress on the REVOLVE side of the business in China.
Peter McGoldrick: Appreciate that. And then I did want to follow up on Jay's question and the answer where you pointed to the balance between managing growth and margin. I was curious if there's a permanent shift in the strategy for which you approach the business or if this is sort of a onetime item?
Michael Karanikolas: Yes. No, there's not a permanent shift in the strategy. Quarter-to-quarter, depending on where we see the opportunities, things might shift a bit, and this was certainly a more dramatic move this quarter. But it's still our goal and focus to drive double-digit plus top line gains while improving margins, particularly net EBITDA margins over time and getting those back into the double-digit range. And so the dynamics just play out a bit different in the current quarter where we saw a lot more of the gains on the margin side.
Operator: [Operator Instructions] Our next question comes from the line of Mary Sport with Bank of America.
Mary Sport: Could you provide an update on how your beauty category is performing and how you're thinking about that opportunity moving forward? And then I guess, how much of that customer do you expect to be new versus an existing customer?
Michael Mente: Yes. Beauty is quite strong. Yes, performing at double-digit growth rates. We try not to disclose too much detail there, but very optimistic there. It is very, very early in our journey there, where our selection is starting to get very exciting, and we're leaning into further developments in the business, most notably the customer experience online as well as beginning to finally aggressively market. So early stages, great progress, a long road map ahead. And long term, we think that this could be a very, very, very significant portion of our business.
Operator: We have no further questions at this time. I will now turn the call back to management for closing remarks.
Michael Mente: Thanks for joining us today. And most importantly, thank you to the team for the excellent execution this quarter. The profitability numbers and cash flow numbers are something we all should be very, very proud of. We always preach that in challenging environment, breaths lots of opportunity, and it's clear that we're ready for this opportunity this quarter and the quarters ahead. Very excited to join you guys in 3 months from now and show you where we're up to.
Operator: Ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.